Operator: Ladies and gentlemen, thank you for standing by. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to the Sonos First Quarter Fiscal 2026 Conference Call. [Operator Instructions] And I would now like to turn the conference over to James Baglanis, Head of Corporate Finance. You may begin.
James Baglanis: Good afternoon, and welcome to Sonos First Quarter Fiscal 2026 Earnings Conference Call. I am James Baglanis, and with me today are Sonos CEO, Tom Conrad; CFO, Saori Casey; and Chief Legal and Business Development Officer, Eddie Lazarus. Before I hand it over to Tom, I would like to remind everyone that today's discussion will include forward-looking statements regarding future events and our future financial performance. These statements reflect our views as of today only and should not be considered as representing our views of any subsequent date. These statements are also subject to material risks and uncertainties that could cause actual results to differ materially from expectations reflected in the forward-looking statements. A discussion of these risk factors is fully detailed under the caption Risk in our filings with the SEC. During this call, we will also refer to certain non-GAAP financial measures. For information regarding our non-GAAP financials and a reconciliation of GAAP to non-GAAP measures, please refer to today's press release regarding our first quarter fiscal 2026 results to the investor relations portion of our website, investors.sonos.com. After the call concludes, we will upload our revised supplemental earnings presentation, including our guidance, as well as a conference call transcript to the IR website. I will now turn the call over to Tom.
Tom Conrad: Good afternoon, everyone, and thank you for joining us. Coming into fiscal 2026, my focus was straightforward. Build on the stability we reestablished in 2025 and start bending the trajectory of the business towards durable growth and profitability. I'm proud to say the fiscal year is off to a good start. We delivered Q1 revenue of $546 million with gross profit dollars growing 5% year over year. Adjusted EBITDA grew 45% year over year to $132 million. Revenue came in above the midpoint of our guidance range and on the bottom line we generated as much adjusted EBITDA in this one quarter as we did in all of fiscal 2025. That performance reflects the fiscal discipline and structural changes we put in place over the past eighteen months which have driven more than $100 million in run rate savings while still preserving room to invest in innovation. We're encouraged by the strength of Q1. But our ambition is far greater than one quarter. The work ahead is about building durable, repeatable growth over time. Returning our company to growth is not about a single quarter, single launch, or a single trend. It's about sustained coordinated action anchored in the power of the Sonos system. At the center of our strategy is a simple idea. Sonos is not a collection of products. It's a system that gets more valuable as you add to it, use it across more rooms, and rely on it over time. That system behavior is what drives repeat purchase, longer customer lifetimes, and ultimately more durable growth. So we're now executing across five growth dimensions each designed to strengthen that system advantage. The first growth dimension is product innovation. We are focused on creating new products that are genuinely differentiated deeply tied to the home, and designed to strengthen Sonos as a system rather than standalone devices. Our hardware and software roadmaps are tightly connected and the goal is simple. Products that work better together, unlock more use cases, and make the system more powerful with every addition. The second growth dimension is a return to customer advocacy. Built on excellence in performance, reliability, ease of use, and customer service alongside a broader and more coherent software platform. When the system works well, customers trust it expand it, and recommend it. System reliability is not just a quality metric for us, it's a growth driver. The third growth dimension is more intentional and effective marketing. With the arrival of our new CMO Colleen DeCourcy, we are rebuilding our go-to-market engine around a full funnel brand architecture that connects long-term brand storytelling with a clear, consistent system narrative. Sonos is the easiest way to build a sound system for the home, and it gets better as you add to it. That clarity is sharpening both how people enter the system and how quickly they expand once they're in. The fourth growth dimension is accelerating our success in geo expansion. We see a meaningful opportunity to expand our global footprint through the right mix of products, pricing, partnerships, and local relevance, while making it simple for new households around the world to start with Sonos and then grow their system over time. The fifth growth dimension is tapping demand from emerging external trends. Our system position allows us to explore new inaction models including conversational AI in the home and new modes of content interaction, ways that feel additive rather than uninvited or far afield. These are experiences that only make sense because a trusted system is already in place. Let me highlight a few areas where you can already see progress against these growth dimensions. Starting with product innovation. Our hardware and software roadmaps are now tightly aligned around the opportunities ahead. After an intentional pause in new hardware launches last year while we focused on strengthening our software foundation, are back to introducing new products with a lot planned for the rest of 2026. Last week, we unveiled Sonos Amp Multi, It offers our installer partners a powerful new building block combining flexible, best in class multi-zone amplification with simpler installation, configuration, and tuning. AMP Multi makes complex systems easier to design deploy, and manage while advancing both sound quality and reliability. More importantly, AMP Multi is a clear expression of our system strategy. This is what we mean by building products that don't just perform on their own, but make the whole home experience easier and better. As homes become more connected, Sonos can become the audio platform that underpins whole home experiences, and Amp Multi allows Sonos to be built directly into the architecture of sophisticated homes. This product is designed specifically for our installer and integrator partners. It helps them take on larger projects, work more efficiently, and grow their businesses with Sonos as a trusted system at the center. The relationships we built with professional installers over the past few decades are a real differentiator for Sonos. When our installers do well, Sonos does well, and we see meaningful opportunities to continue investing in products software, and support that help them scale with confidence. Turning to customer advocacy. We continue to make meaningful progress this quarter on system performance and reliability across 10 software upgrades. These improvements are showing up in higher customer satisfaction across all channels and measures, and better system performance accelerates everything we do. On marketing and demand creation, we are getting more precise about how people enter the Sonos system and how quickly they expand once they're in. One early decision we made was to reduce the price of Arrow 100. Recognizing its role as a critical gateway into Sonos. That move is paying off Q1 marked the third consecutive quarter of accelerating new customer growth among households that start with Arrow 100. Up more than 40% year over year. Arrow 100 is doing exactly what we designed it to do. Introduce new households to the Sonos system in a way that naturally leads to expansion across rooms and use cases. Expanding lifetime value within our installed base is another lever. Customers who start with Arrow 100 have historically shown strong repurchase behavior and that pattern continued this quarter with newer cohorts. We also saw growth in multi-product customer starts, which matters because customers who experience Sonos as a system from the outset build deeper, longer-lasting relationships with us. As a reminder, increasing lifetime value represents a significant opportunity within our existing installed base alone. If we move from today's average of almost four and a half devices per multiproduct household to six devices per household, that represents roughly $5 billion in incremental revenue. Converting single product households to current multi-product levels adds another $7 billion. That upside is driven by system behavior, when customers use Sonos across more rooms and moments they buy more over time and stay with us longer. Looking beyond our installed base, we currently hold about 6% of the $24 billion global premium audio market. There is substantial room to grow that share, particularly outside our core markets, while continuing to expand the sound system category that Sonos created. A great example of this is we saw another quarter of dollar share gain in premium home theater in both The US and EMEA. Finally, our platform positions us well to tap into new external demand trends. More than 53 million connected devices and over 17 million homes, Sonos is a trusted platform where services old and new can coexist giving households real choice anchored in a system they value. That puts us in a strong position to explore new interaction models including conversational AI in the home in ways that complement the people already love. As I've said before, our vision for Sonos is to be every dimension of sound for the home. Music, movies, stories, rooms, formats, conversations, and control all connected through a single cohesive and radically easy system. That idea of systemness is the lens through which we make decisions and the foundation of our long-term advantage. What ultimately drives all of this is the world we're building for our customers. A home that comes alive with sound, experiences that move naturally between moments, moods, spaces, where products and software work together and the whole becomes meaningfully greater than the sum of its parts. You'll see more of that vision come to life with the products we have planned for the second half of fiscal 2026. After a year inside the company, seeing the people, the craft, and the ambition up close, my conviction has only grown that Sonos has everything it needs to return to durable growth. Q1 mattered not just because of the results, but because it showed that the underlying business is getting healthier. We proved we can manage through tariffs with discipline, deliver profitability above expectations, and do it while continuing to strengthen the system. The second quarter will be quieter as it is often for us, but the first half as a whole reflects a business that stabilizing and beginning to turn. For the past year, as we focused on software performance and reliability, we've been operating without new products to bring new customers into the system or spark repurchase. That changes in the back half of the year. We are entering that period with the system performing better and more reliably than it has in many years. With customer sentiment improving and with a slate of new products designed to strengthen the system rather than just add devices. We're already gearing up for that moment now. With a solid Q1 behind us, modest growth expected at the midpoint of our Q2 guidance, and a clear line of sight to acceleration in the second half, we are executing against a clear plan to return Sonos to growth in fiscal 2026. With that, I'll turn things over to Sayori.
Saori Casey: Thank you, Tom. Hi, everyone. In Q1, we generated revenue of $546 million above the midpoint of our guidance range. Marking our sixth quarter of execution delivering on our commitments. On a year-over-year basis, revenue was down 1% compared to guidance of down 7% to up 2%. While GAAP gross profit dollars grew 5%. Revenue in The Americas grew 1% year over year, while EMEA revenue declined by 4%. And APAC by 5%. We also saw continued momentum in our growth markets, which once again outpaced the rest of our markets. On a product basis, plug-ins deliver double-digit growth, driven by strong performance from ERA100. As Tom mentioned, Q1 was the third quarter of acceleration in new customer growth since we reduced the price of AR101 100 as part of our pricing strategy we've spoken about over the past few quarters. Q on GAAP gross margin was 46.5%, and non-GAAP gross margin was 47.5%. Both modestly above the high end of our guidance range. A nearly 300 basis points year-over-year improvement in gross margin resulted in gross profit dollars growing 5% year over year, driven by lower cost, FX, and some favorability in one-time items partially offset by unfavorable product mix. Consistent with expectations we outlined last quarter, tariff expense was an approximately 300 basis point headwind to gross margin, which we were able to offset with mitigation actions led by the pricing adjustments we made towards the September. Q1 GAAP operating expenses of $153 million decreased by 21% year over year while non-GAAP operating expenses of $137 million were down 19% year over year. As a reminder, Q1 operating expenses were unseasonably low due to timing of product launches and associated spend. Stock-based compensation was $15.2 million down 40% year over year from $25.3 million last year. Adjusted EBITDA was $132 million at the high end of our guidance range, representing growth of 45%, $91 million last year. As Tom mentioned, we generated as much adjusted EBITDA in Q1 as we did in all of fiscal 2025, reflecting how far we have come in our transformation journey. Adjusted EBITDA margin grew seven sixty basis points to 24.2% our highest in the last four years. Non-GAAP earnings per share grew 37% to $0.93 up from $0.68 last year. As I've said in the past, returning capital to shareholders is a key pillar of our capital allocation framework. Accordingly, we've spent $25 million on share repurchases in Q1 at an average price of $16.79, reducing our share count by 1.2%. We have $105 million remaining in our current share repurchase authorization. Our balance sheet remains strong as our net cash balance ended the quarter at $363 million which includes $51 million of marketable securities, as we hold some excess cash in short-duration treasury bills. Our period-end inventory balance of a $125 million to declined $16 million or 11% year over year. And 27% compared to last quarter. Our inventory consists of $111 million of finished goods, and $15 million of components. Q1 free cash flow was $157 million up from $143 million last year, primarily due to higher earnings. CapEx was $6 million, down from $13 million last year. Turning to our guidance. The Q2 outlook we're providing today reflects the trends that we have observed quarter to date and are our best estimates. We expect Q2 revenue to be in the range of $250 million to $280 million down 4% to up 8% year over year and up 2% at the midpoint. Please note that this does not include any revenue contribution from AMP multi which is not generally available until the 2026. Taken together with our Q1 results, we expect revenue in the 2026 to be $796 million to $826 million. Flat year over year at the midpoint. This represents a continued improvement from a 6% decline in the 2025 and a 3% decline in the 2025. Looking ahead, with AMP Multi and other yet to be announced products slated to launch in the 2026, we expect the further improvement in our year-over-year revenue trends returning us to growth. We expect Q2 GAAP gross margin to be in the range of 44% to 46%, with non-GAAP gross margin approximately two twenty bps higher than GAAP. This represents a year-over-year increase of 130 basis points at the midpoint of GAAP and 10 basis points for non-GAAP, implying gross profit dollar growth. 52%, respectively. Please note our gross margin guidance range embeds higher memory costs In Q2. While we are not immune to memory cost inflation, our products have modest memory requirements between 512 megabytes to two gigabytes, with many products containing one gigabyte or less. For the 2026, the midpoint of guidance implies that our gross profit dollars grow 5% year over year on a GAAP basis, 4% on a non-GAAP basis. We expect Q2 GAAP operating expenses to be in the range of $150 million to $160 million down 11% at midpoint from last year. As we comp over last year's reduction in force and its associated restructuring charges. We expect non-GAAP operating expenses to be lower than GAAP by approximately $16 million As previously mentioned, our operating expense seasonality this year reflects the timing of our product introductions in the 2026 Driving a modest sequential increase in operating expenses from Q1 to Q2. For the 2026, midpoint of our guidance implies GAAP operating expenses of $3.00 $8 million down 16% year over year, a decline of $60 million On a non-GAAP basis, implied operating expenses of $276 million will be down 9% year over year, a decline of $28 million. Bringing it all together, expect Q2 adjusted EBITDA to be in the range of negative $18 million positive $10 million implying first half adjusted EBITDA of $128 million, up 42% year over year, improvement of $38 million from $90 million last year. Our guidance for the first half shows that we're building momentum through fiscal 2026, while maintaining the financial discipline groundwork we laid in fiscal 2025, At the midpoint, we expect revenue to be flat, gross profit dollars to be up mid-single digits, non-GAAP operating expenses to be down 9%, adjusted EBITDA growing by 42% implying four seventy basis points of margin expansion. This significant improvement in our financial performance is the direct result of the progress we made in becoming leaner, execution-focused organization. With AMP Multi announced and additional new products planned for the 2026, we're increasingly confident in the trajectory of the business and our plan to return to growth in fiscal 2026. Our focus remains on returning to durable top-line growth balancing continued profitability improvements and disciplined reinvestments of our efficiency gains toward product innovation, customer advocacy, intentional and effective marketing, zero expansion, and tapping into the demand from external trends like proliferation of conversational AI in the home. With only a small fraction of the global market captured so far, we see a vast opportunity in front of us to expand our household base and improve customer lifetime value. After the call, we will update our earnings slides to reflect our Q2 guidance. With that, I'd like to turn the call over for questions. Thank you.
Operator: We'll now begin the question and answer session. If you have dialed in and would like to ask a question, please press 1 on your telephone keypad to raise your hand and join the queue. 1 a second time. If you're called upon to ask your question and are listening via speakerphone on your device, please pick up your handset and ensure that your phone is not on mute when asking your question. Again, it is 1 to join the queue. And our first question comes from the line of Steven Frankel with Rosenblatt. Your line is open. Good afternoon, and thank you for the opportunity. I'd like to start by following up on the comments you made about memory cost. That's obviously an area where there's a lot of investor concern. I've gotten lots of questions. So could you address both what you're doing to deal with the rising cost and its impact on gross margins? And also, are there any availability issues? Do you feel like the ramp of new products in the back half could be somewhat gated by the ability to procure sufficient amounts of RAM.
Tom Conrad: Hi, Steven. Thanks for joining us. Know, of course, memory pricing is a headwind across the entire hardware industry. But we have a a really great team on this, you know, and as last year's tariff mitigation demonstrated, they have a real track record of managing through these kinds of cost inflation, supply chain volatility. So as you can imagine, this team has been taking action on this for some time. I I think what's most important is ensuring that we have adequate supply to reduce reliance on spot market pricing. So the team has secured and certified additional memory suppliers. I think it's also important to highlight as as Thierry shared in her prepared remarks, our products have modest memory requirements between 512 megabytes and two gig gigabytes of RAM with many of our products containing a gig or less. And just as important as that is that, you know, relative to PCs and phones, customers don't buy Sonos products based on a memory configuration. They buy them for the experiences they deliver. So we are also actively driving cost efficiencies across our product architecture. To just to touch on the the the impact of the supply situation on the products we have planned for the second half of the year. I think I think we have the dimensions I just outlined well in control. And we should be good on that front.
Steven Frankel: Great. And then in terms of the team, you've made some changes. When will we see the beginnings of choline's impact on marketing programs and our do you feel like the team is complete today, or should we anticipate a few more changes?
Tom Conrad: I'll take the second part first. I'm super excited about the team that, I have around the table with me today. Just incredible folks to the last. And not least of all, Colleen, who has been with us for for just three weeks, but is already making great progress in how our marketing organization shows up. With respect to when you'll start to see the impact of her contribution, she already has work well underway aligning our creative and messaging and channel execution around a more consistent system, narrative, and she's, you know, really moving as quickly as she can to implement all of those changes and everyone should expect to see that activity to ramp relatively quickly. Broadly, our goal is to move away from the sort of episodic spikes that historically had been left tied to individual product launches and shift to a more sustained marketing presence that reinforces how the Sonos system works and why it matters. So you should see gradual compounding improvement starting right away rather than anticipate some single large brand advertising launch Super excited about the work that she's driving here. It's been a great first month for
Steven Frankel: Great. So I won't be looking for a Super Bowl. Commercial, so that's good news. And and well, you you you keep talking about a which we understand and and you drop some hints about AI and where some of those fits. Could you flesh that vision out anymore? You talked a little bit about about it last quarter, but are you willing to share any more details on kinda how you see those two worlds intersecting and making life better for Sonos users.
Tom Conrad: Yeah. So let's start with just systemness. You know, we really believe that the power of Sonos is that the whole is truly greater than the sum of its part. And we talk about that. What we're talking about is things like effortless multi device room behavior, radically easy control, a unified design system across hardware and software, context aware experiences that understand who you are and what you want before you even asked, ask. Kind of synchronized intelligence, things like true play and dynamic allocation of experiences across surround sound. All under the banner of a Sonos operating system that our customers understand. So, you know, we're at the at the opening stages of executing across all of those dimensions. But I think it's going to be the real differentiator as we've described for the product family going forward. As it relates to AI, I think there's a maybe three different dimensions to think about. Two in the product and one inside of our operations. The first is given the scale and breadth of our installed base and the role that we play in our customers' lives, I think we're in a really strong position to explore new interaction models with them, including conversational AI in the homes in ways that complement the experiences that people already love with Sonos and feel invited rather than tacked on. Second of all, I think artificial intelligence techniques are incredibly powerful, not just for conversations, but for anticipatory design, system features that just anticipate your needs and serve you exactly the right content and exactly the right setting with the smallest amount of input from you as a user. So in that world, AI can just make the Sonos system smarter, more personal, and even easier to use long before you even get to conversation. So the third category, of course, is how we're leveraging AI inside of And I think it's indisputable that since the last one time we were together on an earnings call, we've been through another rapid acceleration of the evolution of these AI productivity tools, particularly in the domain of software development. And we are at the leading edge of integrating those tools into our workflows And I'm really excited about the productivity gains that we're gonna build from these tools and how much it's gonna accelerate our ability to innovate on the system experiences for our customers.
Steven Frankel: Great. Thank you, and I'll jump back in the queue.
Operator: And our next question comes from the line of Eric Woodring with Morgan Stanley. Your line is open.
Eric Woodring: Awesome, guys. Thank you for taking my questions. I have two as well. Tom, I wanted to maybe zoom out and just get your take on kind of the broader health of the of the premium home theater market amidst this kind of case economy. I understand that you guys are taking share, is what we want to see. But are there any green shoots that that you can point to or or the opposite, I guess, for that matter? And and geographically, anything that's stood out to you, obviously, America's up versus international down. Just would love to get your take a little more broadly, and then a a quick follow-up, please. Thank you so much.
Tom Conrad: Sure. Yeah. Speaking specifically to home theater, as we described in our prepared remarks, we do continue to grow our share in Americas and EMEA, we have without question the best home theater products in the in the category by a wide margin. And we love what we're doing there. You know, you mentioned that the kind of k shaped macro demand that that the category is experiencing. I think that's consistent with our read of the market. Which is to say, growing demand for premium experience pulled down by diminishing demand for entry level experiences. Fortunately, our product portfolio is well positioned to take advantage of those trends, but we continue to watch it closely. And I think the you know, zooming in on home theater and it's it's quarter to quarter strengths and weaknesses, is just a good opportunity to say again that you know, we really don't think of the business going forward as category based, and and we think there's tremendous opportunity for us to differentiate Sonos itself, with an expression in home theater, but extending from that one venue in the home into all of the other spaces where people need music and and sound experiences and you know, I my ambition for the company is to disentangle us from all of these individual categories as we go forward. It's probably also a good time just to say something about the incredible power of the installer channel for us. As we talked about, we've we've released our second product in the last year, custom designed and conceived for that channel. It's a it's a business we've been building for for a couple of decades now. We have incredible relationships there. It's, you know, 22% of our business and growing, and we're we're excited to continue to partner with that channel and take advantage of of the opportunity to sort of build Sonos into the very architecture of the home.
Eric Woodring: Awesome. Okay. That that's that was exactly what I was looking for and more so. Thank you, Tom. And then maybe, Sayori, just shifting over to you, obviously, really nice gross margin performance this quarter. That's probably an understatement and really nice guide. Just given the fact you're close to all-time high gross margin but you're doing this with tariff headwinds. I know you talked about the size of the tariff headwinds, believe. But can you just maybe help us bridge the gap from last December quarter's 44.7% non-GAAP gross margin to the mid-forty 7% number that you just put up in December quarter. What were the tailwinds most important to least important? And then what were the headwinds kinda most impactful to least impactful? Just added color on that would be really helpful. Thanks so much.
Saori Casey: Yeah. Thank you, Eric. Yeah. No. We were very pleased with our gross margin percent results, both relative to our guidance and, you know, our expectation as well as on a year-over-year basis. Some have commonalities there. Certainly, our continued effort on reducing cost It resonates on both compares, that we're looking at. And, and then, you know, we have we also have a element of FX that is a tailwind for us right now. Now that's to say and then we as you as we talked about at the last earnings call, you know, we did increase price, in the middle of the the September as part of our price tariff mitigation efforts. And so those those are things that are tailwind. On the other hand, you know, some of it is to combat the headwinds that we have, namely the biggest impact this quarter being tariffs. And then we have product mix, you know, certainly in the holiday quarter as Tom also talked about in the prepared remarks. Had a really strong performance on 100. Is a lower price point product that tend to have lower gross margin as well. So that's a product mix headwind that we have. And, you know, last year at this time, we had launched Arc Ultra with associated channel fill, so we do have that compare as part of our headwind on a year-over-year basis. And, you know, as as we mentioned on the call, the price, mitigation or tariff mitigation, actions that we've taken, certainly, are working for us, and it's in line with what we had expected. We had come into this quarter thinking tariff will impact us on about 300 basis points. And our mitigation actions, the biggest one being pricing, had helped us mitigate nearly all of that. And then on a to a slider extent, we do have the memory headwind but that was more negligible in this quarter. But what as we said on the call, Q2 guidance range of 44% to 46% gap and 47 half non-GAAP, you know, certainly does embed that impact And as Tom also talked about earlier during the Q and A, we are doing everything we can to, mitigate the need to buy at this spot price. The market and securing our suppliers as much as we can. So those are some of the puts and takes we're looking at right now. Certainly, the the favorable impact is outpacing our unfavorable headwind that we have.
Eric Woodring: Okay. Awesome. Thank you for that color, guys. Best of best of luck.
Saori Casey: You, Eric.
Operator: Our next question comes from the line of Brent Thill with Jefferies. Your line is open. Hi. Thank you. This is John Dion on behalf of Brent Thill. Just two questions. One maybe for Tom. You know, you've been CEO for a little over a year now, I guess. And so I wanted to see maybe if you could kinda review you know, what what are some of the biggest changes that that were made in your first year in in what are some of the the biggest initiatives you're looking for ahead for the next year? And then maybe we'll try again maybe on the geographic color in terms of America's being up versus international down. I if there's anything additional we can share there. For salary. Thank you.
Tom Conrad: For remembering that that I just went through my one-year anniversary with the company. So as interim and then six months as the named CEO. It's been an incredible year for me as a person and and and for the company. Overall. You know, as you know, we spent a good chunk of last year making material progress around improving the core experience of Sonos performance, reliability, you know, just customer service experiences, honestly, just doing the hard work of of of winning back our customers as our advocates, and I'm I'm so proud of the progress that the team has made And so grateful for the patients that our customer showed us through what had been a very difficult chapter. And as I described at the top of the call, I'm just you know, incredibly excited to have that chapter behind us and now be focused on the work of of the next act for Sonos or return to growth and structural profitability. You know, you've heard me kind of say on the call that that our belief is that returning to durable growth is really about executing across multiple dimensions at once, product innovation, customer advocacy, marketing excellence, geographic expansion, capturing our place in emerging external trends. And what's exciting about these is that they're really compounding dimensions. You know, for example, as our marketing muscle develops it it it impacts positively our success in geographic expansion as customer advocacy improves makes it easier for us to launch new products into the market successfully. So really focused on on executing against those five dimensions, while, you know, returning to new product introductions in the second half of the year that will be an accelerant for us And yeah, just we've we've we've turned our we've turned our view towards the horizon and and it's exciting to be in a strategic moment for the company.
Saori Casey: Just to add a a few more points specifically on the geographic color here. We we did show a slight growth for Americas know, certainly, that's our biggest, market that we serve. Notwithstanding our efforts to, focus, as Tom just mentioned, on the geographic expansion. And the the growth markets that we are expanding into is continuing to outpace the the growth of the rest of the markets that we're serving. That's continues to be our highlight here. Overall, from a product basis, you know, by geography across all of the geographic areas, we are seeing we saw strength in the plug-ins revenue or the AR 100 led growth that we're seeing ever since we have adjusted the price as part of our pricing strategy to drive more gross profit dollars, and, that is exactly what's serving for us at the moment. We did gain share in both on in both Americas and EMEA. For home theater. And lastly, you know, the our continued, expansion into some of the products that we we had the last NPI that we had launched in Q1 last year in Orc Ultra. So before those are, doing well, but we do have a difficult comp this year because there were channel fills that took place a a year ago. So that that's part of a headwind that's partially offsetting some of the strength that we're seeing.
John Dion: Great. Thank you very much.
Operator: And as a reminder, just star one if you would like to ask a question. And with no additional questions at this time, this will conclude our question and answer session as well as today's call. We thank you for your participation, and you may now disconnect.